Lachlan McCann: Good morning, ladies and gentlemen, and welcome to the ARB Corporation 2026 Half Year Financial Results Presentation. To all of those online, thank you for taking the time to join us this morning. My name is Lachlan McCann, Chief Executive Officer at ARB. And joining me today to present is Damon Page, ARB's Chief Financial Officer and Company Secretary. Today, Damon will take you through the financial update of the half year results, and I'll present an update to the company's sales and operations. [Operator Instructions] At the conclusion of today's presentation, Damon and I will answer these questions. I'll now hand over to Damon, who will take you through a financial update.
Damon Page: Thanks, Lachlan, and good morning, everybody. Thank you for joining us as we present ARB's results for the 6 months ended 31 December, 2025, for the first half of the financial year ending 30 June, 2026. This presentation follows the company's market update released to the ASX on 20 January, 2026. The final market -- the final report released to the ASX this morning and forming the basis of this presentation is consistent with that market update release dated 20 January, 2026. If we move to Slide 3, we see an outline of the company's sales revenue, profit before tax and profit after tax. To the left of the slide, ARB sales declined 1% in the first half of the 2026 financial year, generating total sales revenue of $358 million. The sales environment in the past 6 months was challenging with the sale of new vehicles declining globally and consumer sentiment constrained. Sales into the U.S. were the standout contributor with growth of 26.1%. Performance by sales channel is outlined on the following slide. ARB's reported profit before tax of $57.1 million declined 18.8% compared with last year. After adjusting for one-off items, including gains from real estate sales and costs associated with the termination of the Thule distribution agreement, the profit before tax decline was 16.3%. Lower sales margins driven by the weaker Australian dollar compared with the Thai baht and lower factory overhead recoveries were the key factors driving the decline in profitability. We will cover this in more depth on Slide 6. Costs were otherwise relatively contained with the exception of non-cash depreciation resulting from the company's recent elevated capital expenditure program. Reported profit before tax represents 15.8% of total revenue, below the 19.4% achieved last year. Driving sales growth and focusing on restoring margins is key to achieving the company's target of 20% profit before tax to sales. To the left of the slide, reported profit after tax of $42.2 million declined 17.2% compared with last year, marginally better than the company's reported profit before tax result and earnings per share declined 17.9%. Slide 4 outlines sales performance by channel. And we see there the sales into the Australian aftermarket declined 1.7% in the first half, affected by lower new vehicle sales for ARB's core model platforms and the ongoing shortage of accessory fitment resources. Sales were marginally down in all states, except for in Western Australia. ARB's retail store network grew by 4 stores to a total of 79. 5 new stores were opened in Mittagong and Griffith in New South Wales, in Mildura in Victoria and in Rockingham and Midland in Western Australia, whilst the store in Burnie, Tasmania was sold but continues to trade as a private stockist. While sales declined during the half, customer demand remains at historical highs and the open order book ended the half year 5% higher than at December 2024. Export sales increased 8.8% during the half. Sales grew -- sales growth of 26.1% was achieved in the U.S. driven by the strategic relationship with Toyota U.S., the eCommerce site in the U.S. and growth through the ORW and 4-Wheel Part retail networks. Other export markets were impacted by lower new vehicle volumes and reduced government funding to the aid and relief sector. The decline in sales to original equipment manufacturer customers of 38.2% or $11.2 million reflects increased inventory levels held by the OEMs, resulting from lower new vehicle sales and slower sell-through of inventories purchased previously. Across on to Slide 5, we see the company's profit and loss statement for the financial half year ended 31 December, 2025. It highlights sales revenue was down 1%. Underlying profit before tax was down 16.3% and reported profit before tax was down 18.8%. Some key items to call out include the combination of a decline in sales revenue of $3.7 million and the increase in materials and consumables used of $6.9 million, representing a $10.6 million reduction in gross profits and accounts for most of the $11.3 million decline in underlying profit before tax. The 2 factors driving the decline in ARB's gross margin being the significantly weaker Australian dollar against the Thai baht and lower factory recoveries as inventory levels materially increased in the prior comparable period are covered in more detail on the following slide. Consequently, materials and consumables used represented 43.7% of sales, which compared with a historically low 41.4% of sales achieved in the prior half year. Costs were otherwise relatively well contained with the exception of depreciation expense, which increased $2.4 million or 16%, resulting from ARB's elevated capital expenditure program over recent years. Also of note, employee expenses were flat at $90.5 million. Operating expenses, including advertising, distribution, finance and maintenance expenses, all declined marginally over last year. Pleasingly, ARB's recorded its $777,000 share of equity accounted profits from its investment, primarily in ORW and 4 Wheel Parts. Regular monthly profits recorded by ORW are ahead of the business case. Overall, the underlying profit of the business declined $11.3 million or 16.3%, of which $10.3 million relates to lower gross profits resulting from the 1% decline in sales and lower sales margins. Adjustments to profit include a $1.3 million gain on the sale of a retail store following a relocation to a larger flagship site and costs associated with the discontinuation of the Thule distribution agreement with Thule choosing to operate in the Australian market directly. Sales and profits associated with Thule were not material to the business. Slide 6 provides more detail around the reduction in gross profits referred to earlier in the presentation. Firstly, ARB manufactures the majority of its fabricated products in one of its 3 Thai factories where the costs are denominated in Thai bahts. Unfortunately, the Thai baht traded at its historically strongest range, i.e., between THB 21 to THB 21.5 to the Australian dollar throughout all of calendar 2025. Based on a 3-month lag, representing inventory holdings and timing of creditor payments, the baht averaged THB 21.17 to the Australian dollar in the first half of FY 2026. This compares with THB 23.71 to the Australian dollar in the comparative first half of FY 2025. This represents an 11% decrease in the purchasing power of the Australian dollar against the Thai baht, meaning the Thai manufactured product was significantly more expensive in the first half of FY 2026, which is reflected in the lower sales margins and ultimately, the lower company profit achieved. Secondly, factory overhead recoveries in the first half of FY 2026 were lower than in the first half of FY 2025. During that period -- during that prior period, ARB's inventory levels increased materially from $240 million to $278 million, resulting in an over-recovery of factory costs. Inventory was subsequently reduced in second half FY 2025 and again in the first half of FY 2026, leading to lower factory cost recoveries and contributing to the overall decline in profitability in the first half of FY 2026 compared with the prior December half year. On a positive note, the company has largely hedged its Thai baht exposure for the second half of FY 2026 at rates slightly more favorable than those contracted in the prior corresponding period and overhead recoveries are forecast to be consistent with second half FY 2025. Consequently, sales margins in second half FY 2026 are expected to be broadly in line with those achieved in the second half of FY 2025. Slide 7 calls out major company cash flows during the year. The company generated cash from operating activities of $63.9 million, which is marginally higher than the profit after tax of $41.2 million and the non-cash depreciation and amortization expense of $17.8 million, reflecting relatively flat working capital. The company invested $11.7 million on property, plant and equipment during the half year, $5.2 million on land and buildings and $6.5 million on factory plants and equipment. The company paid $59.3 million in 2 dividends during the period, net of dividend reinvestments. The final dividend of $0.35 for FY 2026 was a cash outflow of $24.2 million and the $0.50 special dividend was a cash outflow of $35.1 million. Both dividends were fully franked at 30%. The company was holding $59.4 million in cash at the end of the half year and has no debt. This was a decrease of $9.8 million from 30 June 2025, reflecting the special dividend paid. Slide 8. The Board has declared an interim fully franked dividend of $0.34 per share. This is consistent with last year and represents a payout ratio of 67.2%. The dividend reinvestment plan and bonus share plan will both be in operation for this dividend with a 2% discounts and will be paid on 17 April, 2026. I'll now hand the time back to Lachlan.
Lachlan McCann: Thank you very much, Damon. Let's begin with new vehicle sales in the 6 months to the end of December 2025, and on to Slide 10. New vehicle sales for 4x4 pickup and SUV variants where ARB has its highest attachment rate was challenged. This not only affected the Australian aftermarket business, but also ARB's OEM channel. Given ARB's association with Ford through our Licensed Accessory Program, we watch the Ranger and Everest sales very closely. Despite a strong month in December for the Ford Ranger, it finished the year -- the half year down by 1%, while the Everest was down 9% on the prior corresponding period. ARB produces aftermarket and OEM products for Isuzu and Mazda. In the half, the D-Max, MU-X and BT-50 all declined over the prior 6 months, most notably the D-Max pickup sales were down 13%. Toyota recovered its Prado 250 sales in the half with a 67% increase, comping off the model change in the prior corresponding period. The iconic Land Cruiser 70 series and 300 series both experienced soft sales. While ARB continues to invest in existing and new product for the BYD Shark, models where we are confident of higher accessory attachment rates such as the new Ford Super Duty and Toyota HiLux have been prioritized through the business. Unfortunately, January 2026 new vehicle sales continued this negative trajectory, which we will hope to see recover during the balance of the financial year. On to Slide 11. Touching on the Australian aftermarket. And today, ARB's store network comprises of 79 stores nationally, up from 75 stores this time last year. In line with new vehicle sales in the first half of the financial year, the ARB domestic aftermarket declined by 1.7%, which now represents 56.9% of total sales. With resolute confidence in the future of the business, ARB and our independent store owner network continue to invest in the future expansion, which I'll dive into further in the following slide. As Damon has commented, the back order -- the order book at the end of the half finished up 5% compared to December 2024, which gives us confidence as we head into the second half of the financial year. In lockstep with our independent store owners, ARB is exploring expansion opportunities for specialized resellers for specific products where ARB may not necessarily access a customer through our ARB store network. Specialized mechanical driveline shops for our air locking differentials or auto electrical stores for ARB's aftermarket lighting lineup are examples which we are currently pursuing. The partnership between Ford Motor Company and ARB continues to flourish. Whether it's on a Ford national television advertising campaign or driving pass the Victorian Police Ford Ranger adorned with ARB product, the solution Ford and ARB provides to our collective customer base has definitely resonated with the market. In later slides, I'll speak to the launch of the Super Duty platform, which has now been integrated to the FLA program. Moving on to Slide 12. In the half, we completed one upgrade of a flagship corporate site and added 2 all-new independent flagship stores. Confident in the future of ARB and the profitability of these stores, our mapping of Australia combining new vehicle sales, distribution of wealth by postcode and other key inputs suggests there remains a lot of headroom for store expansion. To our partners, James Whitworth and the team in Mildura, Mildura Victoria and to Matt Powalski and the team in Griffiths, New South Wales, thank you for your commitment and effort to launch all new flagship showrooms. It's deeply appreciated. To our ARB corporate team members in Launceston Tasmania and to our new employees in Warragul, Victoria, we appreciate your contributions to the business in bringing your stores to market in the last 6 months. Pleasingly, for the balance of 2026, we have 2 priority development. Globally, ARB's largest footprint store in Townsville, Queensland will launch in FY 2026, in addition to an all-new corporate site in Metro Sydney region. In FY 2027, the expansion continues with 2 all new stores and 3 flagship upgrades. Moving on to Slide 13 and our eCommerce program. When COVID arrived on our doorstep 5 years ago, there was a reflection point on our retail strategy in Australia as we were unable to transact with customers online. While we're far from a box-in, box-out business given the need for our -- the majority of our products to be fitted, there is a customer demographic that either prefers to shop online or are capable of DIY fitting that do make our products less accessible by exclusively being a brick-and-mortar retailer. This really challenged ARB's management during COVID with an incredible temptation to stand up a simple eCommerce platform. After careful consideration, we knew there was a much bigger long-term play in designing a best-in-class integrated 4x4 accessory e-com site that provides a seamless customer interaction online with the incremental benefit of our omnichannel offering where a digital experience is complemented by our in-store customer service. The road to a best-in-class site required significant investment in proprietary tools that supported the success of this site. These include an e-catalog, which provides a guaranteed fit of ARB parts to the complex car park in Australia. We've worked extensively with our independent store network to ensure their business is integrated to the new site and their primary market area is respected online. We've also worked with premium vendors to ensure our site uses best-in-class technology. As referenced on screen, we have 1 million unique visitors to the ARB USA -- the arb.com.au website today, which with quick calculations referencing our eCommerce site in the U.S.A. based on average order value and conversion rates suggest this will become an important commercial channel for ARB. Additionally, we note that the different demographic between an in-store customer to those browsing the ARB website where over 60% are aged between 29 to 44, suggesting opportunities to reach new customer demographic and bring these guys into the brand. The store is now live as of last week. We've traded seamlessly through our first weekend. Orders and quotes are strong, and we're looking forward to a brave new world for ARB. I'll play the following video shortly, which will give you a quick recap of the features of this brand-new site. [Presentation]
Lachlan McCann: Excellent. To all those online, please jump on the new website and have a browse. We think it's pretty special. Just a quick update on the Ford license accessory program. Just as a reminder, this is where we've partnered with Ford Australia and Ford globally to deliver in excess of 180 branded accessory products for the Ford Ranger and Everest platforms available through Ford dealerships with a full 5-year Ford-backed warranty. As an extension of the partnership, Ford and ARB have collaborated on a special interest pack for Raptor. These special interest packs support an OEM's mid-model life cycle strategy to reignite excitement in a model that is in the middle of its lifetime. In the half, Ford released the Ford Raptor Desert Pack, which features ARB branded sports bar, 4 NACHO Quatro lights, along with a number of other Ford upgrades. The Desert Raptor Pack is now available to order for dealerships. Again, the Ranger Super Duty is now in market. Our FLA partnership has flowed through this model. And as presented at the AGM, we believe is a customer profile directly in the bull's eye for ARB product. Early indications suggest accessory attachment rates are high and in some products exceeding our expectations. We continue to discuss with Ford further product expansion opportunities for this model. Later in the presentation, I'll quickly touch on ARB's marketing push for the Super Duty. Moving on to our international business. And on Slide 17, we see ARB's export business achieved 8.8% growth in the half and now represents 38% of our total business. Asia, New Zealand and the Pacific region performed well with 6% growth. Unfortunately, our European, Middle East and African business declined 6.9%, which I'll speak to later in the presentation. The U.S.A. again outperformed, achieving a fantastic 26.1% growth to the half. Despite very challenging economic and political environments with the recent tariff news is seemingly going to continue, we're dedicated with the progress of our sales, marketing and distribution channels in the Americas. It's important to note that the Off Road warehouse for parts and NACHO revenue is not consolidated, and therefore, this revenue is excluded in the outdoor sales of the ARB U.S.A. business. Moving on to Slide 18. And again, as a quick recap, on September 9, 2004 -- 2024, my apologies, ARB announced that Off Road Warehouse, ARB's associate company in the U.S.A. had entered into an asset purchase agreement to acquire the 4 Parts business, which includes 42 retail stores in the U.S. alongside associated IP, including the 4 Parts eCommerce business. The acquisition was finalized on the 18th of October, 2024 for a provisional amount of USD 30 million, which was subsequently adjusted down by USD 4 million as a result of excess and obsolete inventory. Combined with ORW's existing 11 stores, this significantly expanded the retail network of -- to 53 stores and provided ARB with the majority opportunity for a long-term brand and sales expansion in the U.S. To facilitate ORA's funding of the acquisition, ARB increased its ownership interest from 30% to 50% for $16.7 million and provided a loan to ORW of $7.5 million. The main shareholder partner of Off Road Warehouse is Greg Adler. Greg's family founded 4 Parts in the 1960s. Greg has spent the majority of his time -- sorry, my apologies. Greg has spent the majority of his working life in the business, including over 2 decades as CEO of 4 Parts and is happily back at the driving wheel running the family business to its former glory. Moving on to an update on Slide 19. In the 8 months of trading, 4 Parts has successfully integrated over 500 employees to the business, transitioned the ERP system, closed a total of 5 stores, 3 of which were geographically close to other stores and 2 are underperforming. The business now has a total of 48 stores. We've restructured a loss-making eCommerce business back to profitability. And as a result, the business has achieved a net profit before tax shift of USD 3.5 million from the second half of 2025, noting that we acquired a loss-making business. At 30 of June 2025, ORW had a positive cash balance of USD 14.5 million and as reported by Damon, has repaid its ARB debt facility in full. With all of that, the comeback has just started. Through a lot of operational heavy lifting, Greg and the team have begun to raise their eyes to grow the business. Optimization of existing store network remains a strategic priority. And while we're better in many of these stores, there's a lot of room for improvement. We have fantastic engagement with our supply partners who are eager for a deeper engagement with a fresh looking forward parts business. TruckFests have been a long-term known strategy where the business plans and executes customer-facing retail shows to provide access for manufacturers directly to the retail public. Four events have been planned for 2026 and with great excitement from our retail customers and valued suppliers alike. And then expansion opportunities across new locations and possibly specific house branded categories are being considered. Moving on to Slide 20, which speaks to the ARB product sales inside ORW in 4 Parts stores and again, a good news story where ARB product sales have achieved excellent results. The product exposure and education are a priority through the retail and eCommerce sites, both of which have significantly improved. On a like-for-like store basis, ARB product sales through the ORW 4 Parts channels are growing at over 100% on prior corresponding periods. I'm pleased to report that the store-in-store ARB displays past probation, and we now move on to our next batch of 6 stores, which include in April, Kearny Mesa, California, Las Vegas, Nevada, Denver, Colorado; and then in May 2026, Dallas, Texas and Orlando and Doral in Florida. Following the completion of these stores, we will assess the timing and activation of our next bunch of store developments. ARB, of course, will also have a fantastic presence within the TruckFests, presented on the previous slide. Moving on to Slide 21. And with great credit to our team at ARB U.S.A. led by Rich Botello, we're delighted by our continued growth of 26.1% in the half and the continued strengthening of the ARB brand in the U.S. market. All sales channels performed well in the U.S., Latin America and Canada, including our strengthening partnership with Toyota U.S.A. On to Poison Spyder, and as a part of the Wheel Pros Chapter 11 process, there was an opportunity to acquire an iconic Off road brand in the U.S.A., which is close to the hearts of Jeep enthusiasts and rock crawlers alike. This is Poison Spyder. Rock crawling legend, Larry McRae, drove the brand to its original heights after various ownership changes, including time as a part of the 4 Parts family, the sleeping icon has laid dormant or semi dormant for a number of years. Under ARB's ownership, the brand has now relaunched with much excitement, both online and at events such as King of the Hammers in Johnson Valley, California. Product is now in market. Demand has exceeded original expectations, and we're in back order. The dedicated eCommerce site has now launched, and we're looking for product expansion opportunities. Watch this space. To finish, ARB USA updated the -- sorry, to finish the U.S. update, ARB has leased an 8,100 square meter facility in Norco, California, which is approximately 80 kilometers from downtown L.A. The expansion site will support ARB's future growth on the U.S. West Coast, housing engineering, Poison Spyder, the expansion of 4 Parts ORW and new products ARB will bring to the market in coming months and years. Unsurprisingly, today, our largest single market on the West Coast of East California, we're servicing this market from our current Seattle location, is slow and expensive. As a result of this, we will close the Seattle distribution center, but retain a core team of marketing, product management, operations and administration in Seattle. Moving on to Slide 22 and talking through further international business. Planning for ARB's presence in China through our wholly owned foreign entity remains on track, confident with this presence, we will stabilize and grow this important market. Opening is planned for April 2026, where customers, OEM partners and key dignitaries will attend the event. Product is on the water, and we look forward to providing sales updates in future presentations. An important miss for the half was our business in Europe, Middle East and Africa. The business was materially impacted by 3 factors: a reduction in customer demand in the aid and relief sector. ARB has previously reported our framed agreements with organizations such as the UNHCR, World Food Program, Medecins Sans Frontieres, all have experienced cuts to their funding in the last 6 months. Isolated non-recurring issues with key customers in Africa have also weakened the first half trading, in addition to which lower 4x4 pickup sales in key European markets affected sales, as reported by Damon. Offsetting the lower aid and relief sector spending, we've seen increased tendering and contracts in the defense space, which we anticipate will support improved sales in this region in the second half of the financial year. Truckman in the U.K. performed well in achieving 5.2% lift in revenue. This result was achieved despite a 13% reduction in registrations of pickup models, key to the Truckman business in the first half of the financial year. ARB product sales, combined with additional defense spending, supported this growth. Moving on to Slide 23 and ARB's OEM channel. The OEM channel -- so the next slide, sorry, 24. Thank you. The OEM channel has had a tough 6 months with a 38.2% decline. While we previously flagged a reduction in sales, a combination of increased inventory holdings by OEM partners and lower vehicle sales affected platforms and compounded this result. The result does not reflect the loss of any OEM contracts. It does indicate softening of specific models key to ARB's OEM and aftermarket business. In the prior corresponding period, ARB was delivering Toyota Genuine Prado bull bars at this -- which as this vehicle ramped up, exacerbated the decline in revenue in this first half. Given the multiyear time frame of these OEM programs, ARB is actively pursuing business with both new and existing OEM customers. Moving on to Slide 25. Consistent with our Trailhunter program in the U.S., investors will have seen an increase in ARB brand partnership collaborations with Toyota markets outside Australia. ARB has been working with Toyota for over 40 years and is immensely proud of this partnership. ARB is delivering branded content on the recently released FJ Cruiser in the top right-hand corner of the screen, which is a platform restricted to specific markets outside Australia. We also collaborated closely with Toyota Thailand on the release of the HiLux vehicle, which we hope to see further commercial opportunities into the future. Now I'll move on to our product section. And firstly, to Slide 27 on the winch. ARB has respected our long-term partnership with Warn Industries, the global leader in the design and manufacture of electric recovery winches. This relationship was specific to the Australian market, but in markets outside Australia, where the recovery winch remains an important accessory, we didn't offer a solution to our customers. Given ARB's investments in distribution, particularly retail-facing channels, this is an incredibly important accessory to complement our bull bar offering. Over the last 2 years, our engineering team have been working on innovation in this product category to bring something new to market. The ARB winch in addition to its fantastic styling also integrates the contactor pack back into the winch to enhance both performance and the ease of installation to vehicle platforms. Demand has again exceeded initial forecast where we have prioritized our international business units. First shipments will begin arriving with customers in March 2026. Now the next few slides, we won't move slides yet, speak to the application engineering, which has consumed the lion's share of our development resource over the last 6 to 8 months. Speed to market is everything in our industry, and we're incredibly fortunate not only to have an outstanding design and production engineering team in Kilsyth to get products ready, but also a highly capable factory that lets us build first units in Australia to put product in customers' hands as close to vehicle launch as possible. The next video showcases the already mentioned Ford Super Duty. If we can please play the video. [Presentation]
Lachlan McCann: From our Summit Mark II (sic) [ MKII ] bull bar to the Slimline BASE Rack, Old Man Emu suspension and our MITS Alloy service body, thanks to our partnership with Ford, ARB was ready at vehicle launch with a full complement of products. These products were incredibly well received by customers, which today is converting to very strong product demand. Moving to Slide 30. Just in market is the facelift Toyota HiLux. Again, ARB benefited through our association with Toyota Corporate with early access to vehicle data and a physical vehicle to prepare for launch. Conscious of the differences in vehicles between international markets in Australia and also to integrate our offering, we have taken time with an Australian specification, HiLux, to fine-tune designs of products and as such -- such as the bull bar canopy and suspension. These products are now in production in Kilsyth and shortly in Thailand. Deliveries to customer back orders are now imminent. While there has been differing opinions in the market to the new pickup vehicle, it's a Toyota, and those loyal to the quality of product and the service offered by Toyota will continue to buy HiLux. When the ARB offering was presented to market, it was very well received, which we're seeing come through now in initial customer orders. On to Slide 31 and to recap ARB's 50-year celebration. From our very humble beginnings out of the family garage in Croydon, Victoria in 1975, the company has come a long way in 50 years to be a true global leader in the design, manufacture, marketing and distribution of our 4x4 accessories to outdoor and off road enthusiasts around the world. We used 2025 to thank our employees, suppliers and also engage with our incredible customer base who follow ARB's journey. The 50th year celebration gave us the opportunity through various digital channels to explore our most popular Australian destinations, but also provide aspirational insights to operating in far-reaching locations, such as Mongolia, South Africa, the UAE and Morocco. As you can see on screen, the engagement with our fan base was remarkable and will serve as a great springboard as we strive to grow brand awareness of ARB through the next 50 years. And finally, on to the outlook. Sales margins in the second half of 2026 financial year are expected to be broadly in line with the first half. As explained by Damon, in recent weeks, we've taken the opportunity with the strengthening Australian dollar to hedge our Thai baht exposure, largely removing this headwind in the second half. The Australian aftermarket remains a challenge. We actively monitor through OEM partners new vehicle supply. In the second half, we see the Super Duty and HiLux as a tailwind, although we remain concerned about the supply of models such as the 70 Series Land Cruiser and 300 Series Land Cruiser. The customer order book remains strong and looking beyond the next 4 months, ARB's investments in new store developments as well as new channels such as eCommerce will be incremental to ARB's revenue growth over time. The outlook in export is positive. We're confident headwinds experienced in the first half are behind us. The order book in export is well ahead of December 2024, and we continue to see a long runway for growth in the U.S.A. as a result of strategic investments made in recent years. The OEM result in the second half will largely depend on new vehicle sales of those models ARB supports our partners with. The OEMs have reduced their inventory levels, which vehicle sales dependent should support improved sales in the second half. Overall, ARB's financial performance in the second half is expected to improve relative to the first half of FY 2026 and trade closer to the prior corresponding period. Closing the half with a very strong balance sheet and $59 million of cash in the bank puts us in a very strong position to invest in our future. ARB management and the Board remain positive about the long-term growth prospects of the business. An increasing population of 4x4 pickup vehicles, the best distribution network for specialized 4x4 accessories in the world, a strong and growing global brand and a high-performing management team, remain very excited about the future of the business. That concludes today's presentations. Again, thank you very much for everybody online for taking the time to join us. I'll now hand back over to Damon for -- to answer some questions that have come through.
Damon Page: Thanks, Lachlan. A number of questions coming through on margin impact. So I'll just consolidate an answer to cover all of that thereof. If we could perhaps just go back to Slide 6 in the presentation, and I'll just address the impact of the foreign exchange on the margins going forward. So on Slide 6, on the left-hand side, you'll see the average exchange rates for the half year. So second half FY 2025 being January to June 2025, you'll see that the average exchange rate over that period is THB 21.7. So we bought THB 21.7 to the Australian dollar at that time. Now we've locked in the majority of our currency requirements for the second half this year at a rate just slightly above that 21.7 (sic) [ 21.70 ]. You do lose some forward points as you move your forwards out to May and June. And so in terms of the exchange rate, we expect the exchange rate will -- we expect that the exchange rate will be very consistent with the second half of last financial year. We do have a little bit more to lock in, but it's not going to materially change that impact. In terms of the price increase that went through in February, that price increase -- it was suggested on one of the questions that it was a large price increase of 4% to 5%. It was an average price increase of about 3%. That price increase went through in February. We expect to see the benefit of that flowing through the back end of the second half, so probably through that late April, May and June period there. So we will get a little bit of uplift from the price increase, but it will take approximately 3 months to flow through, February, March and April, before we see the benefit of that flowing through to our results given the order book we have and the open and back orders in place. Just again, in terms of the Thai baht, look, if the Thai baht stays where it is, we'll obviously start at some stage looking to take cover into the first half of the next financial year into that July and post-July period. And we should see some favorable impact as we move forward into the new financial year. A question here about, as GP margins deleverage with the weaker baht and lower factory absorption, shouldn't we see those -- shouldn't we see it reverse should those conditions change? The answer is yes. But the Thai baht is now trading back below THB 22. So it won't be as material a change upward as it was on the way down when it went from THB 23.7 last year to THB 21.1 this year. So we -- if the Thai baht strengthens back to THB 23, we'll see a complete reversal of what has occurred in this first half. If it sits where it currently is, then obviously, those margins will continue forward, and we'll get some price -- some improvement in gross profits from the price that was taken in February for the price increase. A question around second half financial performance being closer to the prior period, that's in reference to absolute dollars rather than to profit before tax margin percentage. So just to be clear, that's in reference to absolute dollars. I think that's it by way of margins and financial questions. Lachlan, if any more come through, I'll pick those up, but I'll just hand back to you to respond to the other questions.
Lachlan McCann: Okay. So thanks, everybody, for the questions that have come in. I'll just start with one around the timing and the release of the ramp-up of the Toyota Asia partnership in terms of supplying product. In limited quantities, product has commenced supply. There's a number of products if you've got a K9, including the roof rack and a couple of other things on the FJ Cruiser. We have further products that we have been contracted with, on that model, that have not yet commenced supply, but a limited number of accessories have commenced supply into Toyota Asia, which is fantastic. The next question relates to the BYD Shark. ARB is watching BYD Shark accessory uptake. How does it compare currently to, say, ARB's key models? How do you balance having product ready for Shark versus the uncertainty on accessory take-up? There is a finite engineering resource at ARB. We do not -- we do believe BYD as clearly an opportunity in market, which is obvious. They've done a great job in bringing that vehicle to market. Do we see the attachment rates on a BYD Shark as high as platforms like the Super Duty and like the HiLux? And clearly, the answer to that is no. We have prioritized those 2 models as examples of product that we have pushed through our design and production engineering teams. With that said, and as has been presented to market previously, product is available for the BYD Shark today through ARB channels, and we'll continue to increase that offering on that platform. Again, just conscious, with constrained engineering resources, we have taken the decision to prioritize those other 2 platforms. So I certainly would suggest that we don't ignore the success of the BYD Shark. We just know with confidence that both the Super Duty and the HiLux have higher attachment rates. How confident are you, is the next question, in your growth earnings for FY 2027? I think in the outlook, we've provided enough update as we're prepared to give. So hopefully, that gives you some indication as to where we sit both for the balance of the year and hopefully, some indications about where we see the future. The next question, where you say the Australian aftermarket, the company's order book remains healthy with daily sales and order intake close to historical highs, are you implying that revenues are on track towards $201 million? So again, there, we've given, I think, as much information as we're prepared to provide on the outlook slide. So that hopefully covers that one off. Can you explain further to what drove the softer results within EMEA, spoke to unassociated challenges versus non-recurring? Yes. I suppose with transparency, it does speak to a major distributor who had a significant health concern during the year, which slowed the business down, which on reflection, it's a succession planning and corporate management piece that we have to organize. That health condition is behind the owner of that business. The business has started to pick up, but it does highlight for the business some weakness or susceptibility with respect to succession that when a single individual goes out of the business, we can have that type of slowdown. So that's certainly something we're looking to address going forward. Can you provide further details on the composition of export business within EMEA? How is the split between military, foreign and independent retail? It's a very good question. What I would speak to in my exposure in the 25 years to those markets is, there has been a shift away from retail to fleet. Fleet is a growing and important part of those businesses and something that we have actually invested in dedicated resources in that space, including the OEM channel for the European market so that we can continue to grow. I wouldn't say by any stretch that means that the retail market in Europe is softening. There are certain product commodities that continue to be very, very positive. Our product offering, given its practical use application, is definitely more targeted towards that fleet demographic and is a part of the growth of our European business, in particular, over the last sort of decade or so. I think I've covered off the European questions. What percentage of total export sales does ARB USA currently represent? The answer to that is 43%, covers that off. Toyota has commenced calendar year 2026 at a slower rate. Are you seeing supply impacts within Toyota? Or has the HiLux launch been a little lacklustre relative to prior new generation launches? Do you expect Toyota volumes to improve over the next 6 months? Look, there's publicly available information, for example, on the Land Cruiser 70 series where Toyota has actually indicated they've stopped taking orders. We are -- we receive forecast from OEMs, which are their best view of the future. What I would say is, my understanding is Toyota is supply constrained, not demand constrained. Every model that we know of, that Toyota has, is back ordered within the system. We actively monitor key models such as the 300 series, the 70 series, the HiLux and the Prado. And on a lot of those months, you are waiting many months, up to 6 to 8 months for a new vehicle if ordered today. Now the soup of Toyota and how they decide in their way of playing [ golf ] between their international markets is quite confusing. The Land Cruiser Prado, which is built in Japan for the U.S. market, has been incredibly popular and has outperformed expectations, which may have a supply impact to the Australian market, possibly. We see models like the Toyota HiLux, which is now in market in Australia. We know that, that vehicle is not going to be available to purchase in the U.K., for example, until the back end of this calendar year. So like the person who wrote this question, we too are quite confused in some instances about how Toyota decides to allocate vehicles to market. There's compliance issues. There's all sorts of things that I'm sure go into their thinking there, but it's something we obviously, certainly watch a lot. Can -- the next question, can you please discuss how the vehicle model changes affects the OEM revenues and aftermarket revenue timing? This is something not well understood, and it also opens up on Europe impact of vehicle supply patchiness, et cetera, et cetera. I think in answering the last question, that is sort of covered off. I'd really again take the time to highlight -- and this is not only something that's relevant to Toyota, but certainly, Ford fights this as well, where it's not always a question of demand in the market. It's definitely a question of supply. We know for a handful of those models, and certainly for the Super Duty right now, if Ford could build more vehicles and send them to Australia, they'd be selling more vehicles, which is a good news story. I don't know how to translate this question. Just to clarify the 100% product sales with reference to the entire 4 Parts network. Okay. So this question just is seeking to clarify our doubling effectively of ARB product sales through the 4 Parts ORW network. So this does not just represent the one to 2 stores. This is a year-on-year comparison to the prior corresponding period. Through the 48 stores, our sales have doubled. We have to highlight that they are coming off a weaker volume, but we're seeing incredibly strong penetration through those stores. The next question speaks to the probation, which is interesting wording, probation set for the 2 stores? So there were some commercial decisions wrapped around those 2 stores on probation. There was some customer experience that we baked into the decision to move ahead with further stores. There was certainly a lot of feedback from the store managers that we baked into our decision. There's also us making sure that the experience resonated with the customers. We call it bull bar, bull bar, they call it a [ bumper ]. There's different ways that they present suspension to market, et cetera, et cetera. So we just wanted to make sure that the physical representation of our products into those stores resonated with the market, which we're confident that it has. And so again, we move forward, which is incredibly exciting. Have ARB products needed to stop the U.S. door in store rollout being booked in sales? It would -- if it was, it would be immaterial to the business. So I don't think that's necessarily relevant in terms of revenue and our good [ accountants ] would probably capitalize that investment anyway. There is one more question. Any comment on the tour impact on aftermarket sales and profitability? Immaterial on both fronts, yes. So that covers that question off. Damon, do you have any more?
Damon Page: Look, Lachlan, I just wanted to -- I'm conscious you haven't seen these, but just wanted to give you an opportunity just to respond to whether it's worth investing more in engineering capability given the changes in the car park?
Lachlan McCann: Yes. Good question. And look, there's a couple of answers to that. Number one, we've presented before the market the investments that we are making in the U.S. And so yes, and we certainly are planning for further engineering expansion in Australia. I suppose the best way to speak to that is the explosion of models and the proliferation of new entrants to the market, means that we have to have more engineering resources to get more product to market. And it would be a fair criticism to say we've had to prioritize HiLux and Super Duty over BYD Shark. Why can't we do all of them at once, and we would accept that feedback. And of course, including the Kia Tasman, which has also come to market recently.
Damon Page: Lachlan, we've cited fitment resources as a headwind to results again. Question is around, have we increased the number of fitment bays in flagship stores and focused on labor? So does this get resolved is the question?
Lachlan McCann: Yes. Look, it was only because we see it as a perennial issue facing the business on a go-forward basis. We've restructured the incentive plan for fitters in the first half of the financial year, where there's some performance-based incentives, which we really only finalized the rollout in December. And the effect of that has been really positive. We're actually seeing retention rates improve. But rather than speak to that with limited data in this half year results presentation, we wanted the time to have that mature in the second half of the financial year, so we can report back more specifically. Initiatives across the board, again, the Filipino fitters and the international fitters continue to be a focus. Our onboarding of team members is a weak point that we need to improve so that we get better engagement earlier and retain those fitters. So as always, there's a raft of measures that we're undertaking through HR and through the business to continue to improve in that space. And I would say, in the first half of the financial year, we have made inroads, particularly to holding on to those staff members that join us. We hope to be able to present further to this in the full year presentation. Okay. We're nearly 1 hour in. So that will conclude today's presentation. Both Damon and I, again, would like to really take the time to thank you all for joining online, and we look forward to seeing you at the next presentation. Thank you again.